Operator: Ladies and gentleman, thank you for standing by. Welcome to the Camtek’s Fourth Quarter and Full Year 2014 Results Conference Call. All participants are at present in listen-only mode. Following management’s formal presentation instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. You should have all received by now the company’s press release. If you have not received it, please contact Camtek’s Investor Relations team at GK Investor Relations or view it in the News section of the company’s website, www.camtek.co.il. I’d now like to hand over the call to Mr. Ehud Helft of GK Investor Relations. Mr. Helft, would you like to begin, please?
Ehud Helft: A good day to all of you. I would like to welcome all of you to Camtek’s fourth quarter 2014 results conference call and I would like to thank Camtek’s management for hosting this call. With us on the line today are Mr. Rafi Amit, Camtek’s Chairman and CEO; and Mr. Moshe Eisenberg, Camtek's CFO. Rafi will provide an overview of Camtek's strategy going forward. Moshe will discuss some of the recent developments and summarize the financial results in the fourth quarter. We will then open the call for a question-and-answer session. Before we begin I'd like to remind our listeners that certain information provided on this call are internal company estimates unless otherwise specified. This call also may contain forward-looking statements. These statements are only predictions and may change as time passes. Statements on this call are made as of today and the company undertakes no obligation to update any of these forward-looking statements contained, whether as a result of new information, future events, change in expectation or otherwise. Investors are reminded that actual events or results may differ materially from those projected, including as a result of changing industry and market trends, reduced demand for services and products, the timely development of new services and products and their adoption by the market, increased competition in the industry and price reductions, as well as due to other risks identified in the company’s filings with the SEC. Please note that the Safe Harbor statement in today’s press release also covers the content of this conference call. In addition, during this call certain non-GAAP financial measures will be discussed. These are used by management to make specific decisions, focus future results and evaluate the company’s current performance. Management believes that the presentation of non-GAAP financial measures is useful to investor understanding and assessment of the company’s ongoing co-operation and prospects for the future. A full reconciliation of non-GAAP to GAAP financial measures is included in today’s earnings release. I would now like to turn over the call to Rafi Amit, Camtek’s Chairman and CEO. Rafi, go ahead, please.
Rafi Amit: Okay. Thank you, Ehud. Hello to everyone and thank you for joining us. Overall 2014 was a good year for Camtek. We are happy with our performance ending the year with $88.3 million in revenue and non-GAAP net income of $4.6 million. Starting 2014, it was our strategy to focus our efforts on the PCB and Semiconductor business and in this regard we stopped our R&D effort in the Sela product lines. It is important to bear in mind that 2013 revenue includes approximately $9 million of Sela related sales versus only $2.5 million in 2014. At the beginning on 2015 we transferred the Sela business to a third party and no longer support the operation. This is in line with our strategy to focus on core competencies. Taking this into account we grew our semiconductor revenues organically by 20% over those of last year. Excluding the impact of Sela, our year-over-year overall revenue growth was around 12.5%. Our operating income for 2014 was $5.7 million versus $3.2 million last year. This improvement was driven by a more favorable product mix, mainly as a result of our focus strategy. Looking at the fourth quarter, we have reported revenue of $20.6 million, which was in-line with our expectations and the trend in our end markets. We do expect this to improve sequentially, although the first quarter is seasonally weaker due to the Chinese New Year, which falls in February. We reported non-GAAP operating income of $0.7 million for the quarter and $0.4 million in net income. We’ve also generated $5.6 million in positive operating cash flow, increased our net cash and short-term deposit level as of year end to $26.8 million. Our AOI businesses for the PCB industry continues to grow well. We maintained our market share and continue our focus on the high-end customers. The crown of our new business is the Gryphon. We installed our first 3D inkjet system at the U.S. customer and the system has started running production lots. We will launch a new model of Gryphon in the coming IPC show in San Diego February 24 to 26 and we expect a lot of excitement for potential customers. Looking ahead to 2015, we have a lot to look forward. Over the past year we have taken a number of steps, which position us well as we head into 2015. I would like to briefly discuss the recent development in our litigation with Rudolph. We are obviously disappointed that the Minnesota Court ruled in favor of Rudolph inspecting [ph] the damages that itself had previously said, we did gain a small victory in the content order and sanction was cancelled. We see these as just one more step in what has been a very long process. We are very confident that the Minnesota Court was incorrect in its decisions. This recent decision now opened the door for filing a full-blown appeal, which will also deal with previous decisions made by the court. We intend to appeal in Washington DC and we are confident that in the end we will prevail. This would require from us to place a security note with the court. In any case it is important to note that the Falcon has not been sold in the United States since 2009. So there is no negative effect on future revenue from this decision. I would like now to go into more detail of each of our two main markets. 2014 was a record year for our semiconductor inspection and metrology businesses. Revenue grew by 20% year-over-year, so 2014 strengthened our leadership in several market segments and target territory, which positions us well for 2015. Most notably we have penetrated into several tier one semiconductor companies in the U.S. and in Asia and decreased our market share among the existing customers worldwide. Our new Eagle product line based on a new platform, which we introduced at the semiconductor show in San Francisco in the middle of the year was well accepted by our major customers and has already received significant order for 2015.
, : The Eagle Eye system is addressing the surface defect in special markets and is gaining momentum in our CIS, MEMS and high volume 2D applications. We believe that the market demands we are seeing for advanced inspection solutions will result in new and repeat order in the coming quarters to support our customers, new production lines expansion and technology challenges. We expect to continue our semi grows into 2015 leveraging the success over the past year and our position in the market segments we serve. Our main market in 3D meteorology and inspection, which is directly related to the advanced packaging market, the focus for this market is based on what we hear from our customers and published research show double digit growth for the coming years. The trend to bump wafer instead of wire bonding is increasing and further more the major dealer manufacturers are starting to use these three technologies, which will further accelerate the bumping trend. The CIS market that was weak in the second half of 2015 is expected to grow this year due to the implementation of new generation of sensor in mobile devices on the deck of the general grows of the mobile market. This will lead to the industry using 12 inch Wafer capacity for CIS sensor, which we expect will trigger demand for new inspection systems. As the leader in this specific market segment and with the new Eagle Eye platform, we believe that we will increase sales in this segment. The MEMS market segment driven by the mobile devices requires high flexibility and special features. This is a major market we serve and we expect to maintain our market position. In the PCB market our overall market position remains strong and our Phoenix platform continued to be perceived as the leading inspection tool in the industry. Our sales through 2014 were in line with our expectations and similar to those of last year. Our strong market position in this industry also provides us relationship with most of the world’s leading PCB manufacturers. This makes it easier for us to demonstrate in market our new 3D functional inkjet technology product, Gryphon, for PCB’s solder mask applications to the relevant customer base. As you know the commercialization process for Gryphon has started in December. We ship our first conditional order to a customer in California, which has been using the system and production environment. We are speaking with additional large PCB manufacturers and we believe this system will gain attraction in the coming months. Note that the Gryphon uses Camtek proprietary solder mask material. New solder mask material first must be approved by the PCB manufacturer and in most of the cases by the end user as well. The third qualification period for our new solder mask technology will take some time. In addition, while orders and installation have started, there is still a few months gap before we can start to recognize revenue due to longer evaluation and acceptance process of this new technology. As you know, our demonstration center in California has been opened for a few months now. Many potential customers, as well as some of our analysts and investors have been to the center and seen the product in action and I believe everybody has been impressed. We are confident in our belief that Inkjet technology for solder mask will be the dominant technology in the PCB industry for years to come. In light of the big potential we intend to increase our marketing efforts beyond the used market in which we are currently focused on. To summarize, as you can see, I am very excited with regard to our short-term future in 2015, as well as the longer term. I believe 2015 is the inflection point where the growth engine that is our new advanced packaging semiconductor product, the Eagle, as well as Gryphon begin their contribution. In addition, our end market appears to be strengthening, which bodes well for our business. I would like now to hand over to Moshe for a more detailed discussion of the financial result of the quarter. Moshe.
Moshe Eisenberg: Thank you Rafi. On the whole we are pleased with the results of the fourth quarter, which were in line with our expectations, as well as the results of 2014 in which we grew organically, especially with the 20% growth in our semiconductor revenues. I will first cover the fourth quarter results and then provide a summary of the full year financials. Fourth quarter revenues came at $20.6 million. Revenues were 12% below those of the fourth quarter last year and 8% over those of the previous quarter. Revenues from sales and services to the semiconductor industry was $13.9 million, representing 67% of our total revenue. Analyst expectations are for long [ph] semiconductor capital equipment spending with advance packaging applications growing strongly as a portion of this. As we move into 2015 we do feel that this is shaping up to be the case. Fourth quarter revenue from sale and service in the PCB market were $6.7 million, representing 33% of our total revenue in the quarter. This business continued to be driven mainly by Chinese and Taiwanese accounts, expanding their businesses. In addition, we are also generating revenue from system upgrades, and low and existing customers to enjoy some of the benefits that the new Phoenix technology brings. Looking ahead with regards to the first quarter of 2015 the Chinese New Year is always a significant break in the quarter and as usual we will have some impact on our PCB revenue. However, we believe that the growth on the semiconductor side of business will more than cover the seasonal shortfall on the PCB side. Looking further out Gryphon will likely begin its contribution to our revenue in 2015. The geographic split of the revenue for the quarter were as follows: China was the strongest region during the quarter representing approximately 33% of overall revenues. U.S. sales accounted for 22%, Taiwan was 21%, Korea was 8% and the rest of Asia was 8%. Europe sales accounted for 7%. The rest of the world was the remaining 1%. I will now summarize the rest of the financial results. Unless otherwise stated I will summarize the rest of the results on a non-GAAP basis. Reconciliation between GAAP and non-GAAP results appear in the table at the end of the press release issued earlier today. Gross profit for the quarter was $9.7 million, representing a gross margin of 47.2%. This is compared with a gross margin of 45.6% in the fourth quarter of last year and 44.5% in this previous quarter. The strong gross margin compared with the prior period was mostly due to product mix between quarters. Operating expenses in the quarter were $9 million. This is compared with $9.5 million in the fourth quarter of last year and $8.8 million in the previous quarter. Operating profit for the quarter was $700,000 or 3.4% of revenue. This is compared with an operating income of $1.1 million in the fourth quarter of last year and the previous quarter. Net income for the fourth quarter of 2014 was $408,000 or $0.01 per share. This is compared to a net income of $778,000 or $0.03 per share in the fourth quarter of last year, a net income of $948,000 or $0.03 per share in the previous quarter. I will now discuss results for the full year 2014. Revenues for the year came at $88.3 million and were up 3% over those of last year. Revenues from the semiconductor industry was $57.9 million representing 66% of our total revenue. Revenues from the PCB business was $30.4 million representing 34% of revenues. Gross profit for the year was $41.3 million representing a gross margin of 46.8%, which is compared with a gross margin of 45.2% last year. Operating expenses during the year were $35.6 million. This is compared with operating expenses of $35.4 million last year. Operating profit for the year was $5.7 million or 6.5% of revenues. This is compared with an operating income of $3.2 million last year. Net income for the year was $4.6 million or $0.15 per share. This is compared to a net income of $2.1 million or $0.07 per share last year. Net cash and cash equivalents and short term deposits as of December 31, 2014 were $26.8 million, compared with $22.5 million as of December 31, 2013. We generated a strong operating cash flow of $2.9 million in the quarter and $5.3 million during the year. For the first quarter of 2015 we expect revenue growth to around $21.5 million to $23 million. The year as a whole, we expect solid revenue growth in our semi conductor business, driven by increased CapEx spending by many of our customers, particularly in the advanced packaging sector. We also expect initial revenues contribution for Gryphon in 2016 revenues. In summary, we are well positioned for growth in 2015 in our two main markets, metal semiconductor inspection and metrology and PCB. We look forward to translating the potential investment into our business over the past few years, into revenues and growth in 2015. We will now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Krishna Shankar of Roth Capital. Please go ahead.
Krishna Shankar: Yes, congratulations on the 2014 results. As you look at 2015, will most of the growth in semiconductors be driven by the inspection? Can you talk about wafer level versus packaging inspection? What kind of growth trends you see in both those areas and then should we expect to see Gryphon revenues in the second half of 2015?
Rafi Amit: I would say in the semiconductor inspection we can see demand for all type of the segment that we are selling. Like all the 3D IC applications, CMOS Image Sensor or MEMS, all of them looking very promising for 2015. So we cannot say that we see all of that in one segment. We can see a little bit more recovery in the CMOS Image Sensor compared with 2014 when the second half was a little bit weak. In general all segments are going to grow during 2015. Now regarding the reforms as we mentioned we believe that since this is a new technology, a revolution technology we have to invest more effort on marketing with the end used, with all the food chain that must approve and use this material. So we do in parallel a lot of marketing efforts to go to the big players, to introduce the technology and in addition to that we go to many potential customers and try to contact them. Many of them are interested and would like to try and install the machine and right now this is in the middle of this process. So since we estimate that the evaluation and qualification may take a few months, we believe that we can see revenue recognition from I would say Q2 and more.
Krishna Shankar: Okay, thank you.
Rafi Amit: You’re welcome.
Operator: The next question is from Jay Srivatsa of Chardan Capital Markets. Please go ahead.
Jay Srivatsa: Thanks for taking my question. Rafi, on the Gryphon you did a demo in December. Can you give us some feedback on what the response has been from customers and what are some of the issues in terms of things that you need to address or what are some of the positive feedbacks that you have got. Can you expand on that please?
Rafi Amit: I would say what we could see from most of the customer, they will be more than happy to install the system right away, because it reduces their cost, reduces labor, reduce waste treatment, you name it footprint, so they can see all the benefits. But eventually the verdict is made by the end user and any changes of material must be approved and qualified by the end user. So although they want tomorrow to install the machine, they need first to introduce, to present it to the end user, to get his approval and then they are ready to start and purchase such machines. For example, our first customer in California, next week is going to make like an RPO, lets call it a demo to over 25 of his customer. He invited them to his site. He wants to show them the technology, the result and everything. So this is exactly what I said, that the migration process takes some time.
Jay Srivatsa: All right. How do you see the Gryphon installations playing out? Do you expect your customers who are currently maybe using LDI to run the Gryphon side by side or do you expect a replacement cycle. How do you see that playing out?
Rafi Amit: First of all, most of the customers do not use LDI for solder mask, because the solder mask we need a lot of energy and LDI is not capable to supply such energy. So still I would say 99% of the customers use the conventional process, meaning his outwork and exposure system. So I assume that since everyone must have such process right now, at the beginning they will use the Gryphon for all the tough jobs, the alignment issue. It’s very tough for them to make it with the conventional technology and side by side we try to use more and more and eventually they stop using the conventional technology for solder mask.
Jay Srivatsa: All right. So given the introduction and your customers starting to get some product, what is your expectations for this year in terms of the number of machines you expect to ship for fiscal ’15.
Rafi Amit: This is something that it’s not so easy for us to predict and I would say that we can estimate something around lets say 20 to 30 installations. But this is I would say something that we estimate, but it could be double. The reason is how long it takes to customers to adapt, the accept it. Okay look, it looks perfect, it looks nice. We would like to start using it. This is something that we have no experience and sometime we do not understand how long it takes. If I even go back to the NDI and see the ramping time, how long it took, it took time, because every new process, new technology, it takes the industry some time to adapt it, to get use to it, so this is why its so difficult for us to estimate. But eventually we have to build the machine, we have to build inventory, so we have to put a number. So right now we are organized for this number and if we find that we need to make it double, I would say roughly the response time for different numbers could be around six months.
Jay Srivatsa: All right. And then in terms of the lawsuit, this has been one that’s been permeating for a long time. What’s the end game here? What do you hope to accomplish and put this to rest?
Rafi Amit: Look, we believe, together with all the professional consulting and lawyer that our case is very strong and we must win this case. The problem, until now it couldn’t file all the points to the federal court. We were limited what we can file in the appeal. Now when the final verdict is done, we actually can appeal for everything, for everything that all the time we knew and we understand there was some incorrect issues in the Minnesota court. So we are very optimistic that after we appeal to the federal, we definitely will win this case.
Jay Srivatsa: Okay. Thank you.
Rafi Amit: You’re welcome.
Operator: The next question is from Brett Piira of B. Riley. Please go ahead.
Brett Piira: Great, thanks for taking my question. Maybe just you mentioned that you will be launching a new Gryphon in February. Can you give us any details on what the upgrades to that system will be?
Rafi Amit: First, you are welcome to the show. It’s very nice. Okay, this new model is what we call like two colors model. You know that there are two processes in the industry, one is solder mask. Today all the solder mask process are done by outwork lithography and this is what you call the conventional process. Some are giving with the NDI, but still it is the same process. We are developing – the cost in developing all the process. So solder mask was our first phase. Now we also can make Legend. And legend printer you can find in the market, but we make it one step. So the first part, the machine applies the solder mask, dries it on the fly and immediately apply the legend on top of it. So you don’t have to go to another machine to make another process. Its in one process you make these two steps and this is very efficient. It’s cut the cycle time by many hours and its very precise, because you don’t move anything. In the same panel you do both. We will present this capability in the San Diego show.
Brett Piira: Okay great, that’s helpful. Then maybe just back to the lawsuit. Just to double check, should we expect any impact to OpEx as you have to file these appeals.
Rafi Amit: Moshe, do you want to comment on this?
Moshe Eisenberg: Yes, I assume that we will have to add certain amount of legal fees, but this will be limited, so I’m not expecting a huge change over the numbers that you are familiar with over the last couple of years.
Brett Piira: All right. Thanks guys.
Operator: Thank you [Operator Instructions]. The next question is from Larry Litton of Second Line. Please go ahead.
Larry Litton: I just wanted a clarification about a statement you make about a product line no longer being supported. Is that in the $88 million for 2014 and if not, what’s the real base of business that we are comparing off of for 2014.
Moshe Eisenberg: Okay, we are talking about the Sela product lines. This business has been with Camtek since 2009. In 2014 we decided to stop the next generation product lines from this system, mainly as a result of strategic decisions to focus on our core competency and at that point we minimize the number of people working for this group to a very small amount of people. In 2014 this product line contributed approximately $2.5 million. So if you want to compare the base line of 2014 to next year, we have to reduce $2.5 million from the top-line.
Larry Litton: Okay, thank you.
Moshe Eisenberg: One more sentence to complete the picture which Rafi mentioned, however I want to clarify. In the beginning of 2015 we basically transferred this business out of Camtek to a third party and we are no longer supporting this business. So you should expect pretty much zero impact on our revenue or business in 2015.
Larry Litton: Thank you.
Moshe Eisenberg: You’re welcome.
Operator: There a no further questions at this time. Before I ask Mr. Amit to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on Camtek’s website, www.camtek.co.il within the next 48 hours. Mr. Amit would you like to make a concluding statement.
Rafi Amit: Okay, I would like to thank you for all your continued interest in our business. First, we intend to present to investors [indiscernible] conference in early March and B. Riley Conference in May and we look forward to seeing many of you there. To the rest of you, I look forward to talking with you again next quarter. Thank you and good-bye.
Operator: Thank you. This concludes the Camtek fourth quarter 2014 results conference call. Thank you for your participation. You may go ahead and disconnect.